Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Cabot Microelectronics Third Quarter Fiscal 2020 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to one of your speakers for today, Colleen Mumford, Vice President of Communication and Marketing. Please go ahead, Ms. Mumford.
Colleen Mumford: Great. Thanks, Carol. Good morning. With me today are David Li, President and CEO; and Scott Beamer, Vice President and CFO. Last night, we reported results for our third quarter of fiscal 2020, which ended June 30, 2020. Whether you're joining us online or over the phone, we encourage you to review the investor slide presentation we made available under the Quarterly Results section of the Investor Relations center on our website, cabotcmp.com. A webcast of today's conference call and the script of this morning's prepared comments will also be available on our website shortly after this live conference call. You may request any of the information by calling our Investor Relations office at 630-499-2600. Please remember that our discussions today may include forward-looking statements that involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from these forward-looking statements. These risk factors are discussed in our SEC filings, including our Form 10-K for the fiscal year ended September 30, 2019, and our Form 10-Q for the quarter ended June 30, 2020, to be filed by August 10, 2020. We assume no obligation to update any of this forward-looking information. Also, our remarks this morning reference certain non-GAAP financial measures. Our earnings release and slide presentation include a reconciliation of each non-GAAP financial measure to the nearest comparable GAAP financial measure. Additionally, these reflects rounded values throughout this discussion and in the accompanying slide presentation. I will now turn the call over to Dave.
David Li: Thanks, Colleen. Good morning, everyone. Last night, we announced strong results for our third quarter of fiscal 2020. We are pleased with our performance, which we believe demonstrates the strength and resiliency of our high-value specialty materials business and our ongoing strong execution, especially in light of the continuing unprecedented global business environment. To date, we have not observed a meaningful impact from COVID-19 on our ability to manufacture and deliver products to our customers. And our most important focus remains continuing to keep our employees safe. We have also been encouraged by continued strong demand for our semiconductor products, which represents approximately 80% of our revenue as technology continues to play a critical role in the transition to remote working and learning environments that is occurring globally. We are also encouraged by the recovery in demand we have started to see from our oil and gas pipeline customers and remain confident in the long-term growth potential of our pipeline performance business. I also want to take this opportunity to comment on the recent social justice protests we have witnessed across multiple cities around the world, fueled by concerns about racial inequality. At CMC, we value diversity and inclusion. It is a core value that the leadership team and I firmly believe in and are absolutely committed to. I believe that there is no place for racism, inequality or discrimination in this world. And we will continue to focus on providing a welcoming environment for all and a place where everyone is valued. Turning to our third quarter results. Our revenue increased 1% and our adjusted EBITDA increased 7% compared to the same period last year. The increase in revenue was driven by strong growth in CMP slurries and pads as well as higher revenue in our wood treatment business as we successfully enacted price increases that we previously discussed. The increase in EBITDA was driven by operating leverage in our Electronic Materials segment, lower operating expenses overall and higher prices in the wood treatment business. We believe these results demonstrate the strength of our business model as well as our continued operating discipline and execution. Now let me provide some additional thoughts on industry conditions and outlook. Starting with Electronic Materials, semiconductor industry conditions remained solid this quarter. Overall demand for our materials improved driven by strength in foundry and logic, primarily at the leading edge, as well as continued signs of recovery in memory. Our customers saw continued strong demand from cloud, servers and PCs, which was mainly attributed to the increasing need for additional devices and bandwidth to support work-from-home and e-learning environments. We are also encouraged by our customers' continued drive and progress towards ramping up new and advanced technologies in both logic and memory, which should, in turn, drive growth and demand for our products given our strong participation across leading-edge nodes. Looking ahead, at present, we expect continued stable demand for our Electronic Materials segment in the fourth fiscal quarter with expectations for revenue to be flat to up low single digits compared to this quarter's results. While there is still uncertainty in demand based on macro factors, we are growing increasingly optimistic that the strength and stability we've seen from our semiconductor customers will be sustainable, especially given the important role of technology in this environment. Turning to Performance Materials. This quarter, we saw a decline in pipeline performance revenue due to soft industry conditions as a result of the pandemic's impact on global oil demand and transport. However, industry conditions appear to be improving with a pickup in demand and inventory reductions for oil and gas refined products in recent months, which should translate into stronger activities for our customers and higher DRA consumption in the fourth fiscal quarter. We have already begun to see recovery in our - in this business, and our July sales were up significantly month over month for the first time since March. We expect demand for DRAs will continue to improve, assuming major economies, especially the U.S., continue to move beyond lockdown conditions related to COVID-19. We also benefited from strong demand and significant price increases in our wood treatment business, which partially offset some of the decline in pipeline performance products this quarter, and we expect the wood treatment business to continue to perform well through our planned exit around the end of calendar 2021. Looking ahead, we currently expect Performance Materials revenue to increase low to mid-single digits sequentially in the fourth fiscal quarter due to anticipated revenue improvement for our pipeline performance business and continued strength in wood treatment. Given these expectations for a stable to improving operating environment in both our Electronic Materials and Performance Materials segments and dependent on macroeconomic factors, we currently expect total company revenue to increase by low single digits in the fourth fiscal quarter. In summary, we are pleased with our results and believe they demonstrate the resilience and strength of our portfolio. We are also proud of our strong execution in this uncertain environment. Moving forward, we're excited about our future given the favorable trends in the semiconductor industry as well as the expected normalizing demand from our pipeline customers. We believe we are well positioned to end our fiscal 2020 with another year of strong results, which reflects our technology leadership and operational and quality excellence as well as our continued commitment to delivering long-term shareholder value. With that, I'll turn the call over to Scott to provide more details on our financial results.
Scott Beamer: Thanks, Dave, and hello, everyone. While the operating environment remains uncertain, we are focused on growing earnings by improving our mix and controlling expenses. We believe our results show our ability to not only drive earnings but also to convert those earnings into free cash flow, and we are allocating our cash according to our stated capital deployment priorities. Consistent with this, we will continue to strategically invest in R&D and CapEx in order to maintain our leadership positions in the industries we serve. Fundamentally, we believe that our businesses have not been disrupted over the long term, and our strong balance sheet and liquidity should enable us to weather any further short-term challenges and emerge well positioned to deliver future growth and margin expansion. Now let me speak about our quarterly results, and my comments will generally follow the slide presentation we posted on our website last night along with our press release. Slide 3 provides a high-level summary of our financial performance, highlighting the strong results this quarter. Specifically, our revenue, adjusted EBITDA and adjusted EPS were higher than the prior year, even in this challenging environment. While revenue grew 1%, adjusted EBITDA grew 7%, indicating some operating leverage, overall cost controls and the favorable impact of actions taken to improve the profitability of the wood treatment business. Specifically, operating expenses were lower from reduced travel and overall lower discretionary spending. Slide 4 provides some quarterly P&L comparisons for both reported and adjusted results. Adjusted gross margin improved versus the prior year primarily due to higher selling prices in wood treatment and improved product mix. Adjusted EBITDA was $92 million, up 7%. Adjusted EBITDA margin was 33.5%, 200 basis points higher than the same quarter last year and 150 basis points higher than the first half of the year. EBITDA margin improved compared to the first half of the year due to lower operating expenses primarily from lower incentive-based compensation from a true-up in the third quarter and overall lower discretionary spending, including lower travel. While adjusted EBITDA margin was a particularly strong metric this quarter, we believe that between 31% and 32% is an appropriate assumption for the company for the short to medium term, including the period of time that we continue to own the wood treatment business. Our reported net income was $35 million. Adjusted net income was $53 million, up 13% compared with the same quarter last year. Overall, our adjusted net income benefited from higher revenue, improved margins, lower operating expenses and lower interest expense in the quarter. Diluted EPS was $1.17. Adjusted diluted EPS was $1.80, which is 13% higher than the same quarter last year. Now let's discuss revenue results by segment and business, which are shown on Slide 6. Electronic Materials, which was 80% of our quarterly revenue, reported a 4% increase compared to last year. CMP slurries revenue increased 8% primarily driven by higher demand from foundry and logic customers. We saw strong growth in our tungsten and dielectric slurries in the quarter, which continue to represent growth areas for our company. Electronic Chemicals revenue was down 2% compared with the same period last year due to lower demand from legacy logic applications primarily in Europe as some customers were negatively impacted by softness in automotive and industrial sectors. This was partially offset by stronger demand in advanced logic applications, mostly in the U.S. CMP pads revenue was up 3% due to stabilized customer demand and moderate inventory builds by certain customers. Sequentially, Electronic Materials revenue was up 1%. Moving to Performance Materials. Revenue declined 9% over the prior year and 17% sequentially from a record level in the prior quarter primarily driven by soft oil and gas industry conditions, resulting in lower demand for DRAs. DRA sales declined 36% in the quarter, which was partially offset by higher revenue in wood treatment. Slide 6 shows revenue and adjusted EBITDA by segment. Electronic Materials delivered around $77 million of adjusted EBITDA, which was 35% of segment revenue, an increase from the prior year. Performance Materials adjusted EBITDA was approximately $27 million, which was 50% of segment revenue, also an increase from the prior year. Now please refer to Slide 7, which provides some balance sheet and cash flow highlights. We ended the quarter with $355 million of cash on hand and $1.076 billion of total gross debt. Both include the $150 million drawdown from our revolving credit facility that we executed in mid-March. The entire $150 million currently remains on our balance sheet. As we mentioned last quarter, we drew down these funds out of an abundance of caution, and we continue to hold these funds in cash at a minimum cost to us given the favorable interest rate environment. We will continue to assess our business and the macro conditions to determine if and when to repay these funds. Year-to-date, we generated cash flow from operations of $204 million and our CapEx was $107 million. As a result, our free cash flow was $97 million. Continuing with our stated capital deployment priorities, year-to-date, we have paid $38 million in dividends, prepaid $18 million on our outstanding debt and repurchased $38 million worth of stock, including $18 million in the third quarter at an average cost basis of approximately $116 per share. Our net debt is currently at 2x our trailing 12 months adjusted EBITDA, which is slightly ahead of the timing target we established when we completed the KMG acquisition. Finally, on Slide 8, we provide some forward-looking expectations. We would caution that our guidance is based on current estimates, and the ongoing volatile nature of COVID-19 and its impact on the economy and the industries we serve could impact our results. For the fourth quarter of fiscal 2020, we currently expect total company revenue to be up low single digits compared to our third quarter. Within the Electronic Materials segment, revenue is expected to be approximately flat to up low single digits versus our third quarter fiscal as we forecast a slight - a stable to slight increasing demand environment for our fourth quarter. We expect revenue in the Performance Materials segment to be up low to mid-single digits sequentially in the fourth quarter. Specifically, we expect DRAs to improve at least 10% sequentially, wood is expected to be stable and QED is likely down slightly after a strong third quarter. As Dave mentioned, we started to see improved DRA sales in July and expect continued modest improvement in August and September as economic activity hopefully continues to rebound. Given the uncertainty with respect to COVID-19, we withdrew our full year fiscal 2020 adjusted EBITDA guidance last quarter but believe with 1 quarter remaining in our fiscal year, we can once again provide our outlook. We currently expect adjusted EBITDA to be between $357 million and $362 million in fiscal 2020. When considering this, combined with our 9-month results and the fourth quarter revenue guidance, this would imply a fourth quarter adjusted EBITDA margin of between 30% and 32%. Let's continue with some expectations for our full year P&L. We continue to expect our full year interest expense to be between $43 million and $44 million, which implies $10 million to $11 million in the fourth quarter. Our tax rate is expected to be between 21% and 23% for the full year. Through 9 months, we spent $107 million on CapEx. Our previously mentioned capacity expansion project at our DRA facility is near completion with some costs to be incurred in the fourth quarter. Overall, we expect our total CapEx to be around $130 million for the full year. In closing, we continue to be optimistic about our businesses and confident in the long-term health of the industries in which we operate. While the COVID-19 pandemic has been disruptive in the short term, it has accelerated a number of trends that should continue to benefit our business. These include greater interconnectivity and reliance upon the most advanced powerful chips to process data quickly and store incremental amounts of information. From our company's perspective, we are managing what we can control such as improving mix and reducing expenses while still investing for the future. Our cash and liquidity position is particularly strong, and we continue to safely and reliably deliver critical enabling technologies to our customers. Now I'll turn the call back to the operator as we prepare to take your questions.
Operator: [Operator Instructions]. Our first question this morning comes from Mike Harrison from Seaport Global Securities.
Michael Harrison: I hope everyone is doing well. Wanted to ask, in the Performance Materials business, can you talk about the margin strength that you saw there? I know you mentioned wood treatment pricing being higher and presumably some discretionary expense reductions. But just help us understand maybe how sustainable that impressive margin performance could be.
Scott Beamer: Yes. We think about the margin performance and our profitability, Mike. The first thing, I think, from our perspective, is these are best-in-class type of performance metrics. And we're - whether we're talking about past, current or our future guidance, we're very pleased with that, and we're managing what - continuing to manage what we can control. We mentioned that Q3 was a bit higher than the typical run rate both for the company and the Performance Materials segment. And we mentioned that, that's mostly OpEx driven and in particular, a true-up on our short-term incentive-based compensation because in the June quarter, as we had more visibility on the pandemic and so on, we trued up and made some adjustments related to our expenses to reflect that. So that was beneficial in Q3, again, from a true-up of 9 months that won't recur in Q4. So we feel like we've been - that's in addition to the discretionary spending. Travel is very minimal at this point, and we expect that to continue into the fourth quarter. So as we think about the fourth quarter, that's why we were pretty front footed again about the expectation and indicating that our expectation for Q4 would be between 30% and 32%. So we're mentioning, as a company, continue - high - best-in-class type of metrics, Q3 a little bit higher than would be typical. Q4 still in that range, but - at 30% to 32%. And then as we think about Performance Materials in particular, as you've been following it, you noticed the improvement in profitability from the mid-40s up to 50% even this quarter. And we've mentioned the pricing optimization that we've done within our wood business. I would be thinking of that metric as closer to 48% again for the fourth quarter. And that would be specific because that true-up that we mentioned on short-term compensation was a more favorable impact to Performance Materials this quarter. So adjusting for that, I'd be thinking about 48% or so in Q4 as a typical kind of metric.
Michael Harrison: All right. And then maybe kind of a bigger question - a bigger picture question on the Electronic Materials business. It seems like 3 months ago, we were looking out to the second half of calendar '20. And wondering if maybe some consumer slowing could lead to some reduction in fab utilization rates. At this point, you guys have a little bit more visibility on what the second half of the calendar year holds. Any lingering concerns that we could see some slowing in utilization over the next 6 to 9 months?
David Li: Yes, Mike, and hope you're well as well. So I think we are encouraged by the strength and demand that we've seen from our customers. This quarter, we saw particular strength in the foundry and logic side, and memory continues to recover. And I think you hit on a key point, which is the role that technology is playing in this environment is becoming increasingly critical. Whether it's connectivity or productivity, we're seeing increasingly - more confident and more momentum going into that second half, whether it's - and if you look at the end markets, whether it's PCs, tablets or data centers or emerging technologies like 5G, all of those seem like they're gaining some positive momentum that we think is - we're getting more confident about the sustainability of that. So we're really excited about the outlook. And as you could see from not only our results but our guide, I think that's reflective of how we feel about the current trajectory of the industry. And I think it also is reflective of our company's execution and the strength of our business model. So we're feeling encouraged by the outlook for sure.
Michael Harrison: All right. And then last question on the Electronic Chemicals business. You mentioned that there was some slowing on the legacy side. Obviously, in this past quarter, the automotive OEM business was very slow, but it is improving. Do you expect that legacy business to improve? Or should we think of that as being under pressure into calendar '21?
David Li: Yes. It's a good question. I think if there's one area or segment of the industry from an end market perspective that hasn't recovered as quickly as others, it is that automotive. And perhaps, I'd also put industrial in there as well. And I think clearly, that's going to take a little longer to recover. That would naturally fall into that sort of legacy logic type of segment. So I think the long-term growth thesis is still very much intact, but it's going to take a little longer for automotive to get back to where it was in, say, 2018.
Operator: Our next question comes from Chris Kapsch from Loop Capital.
Christopher Kapsch: So my first question was a follow-up on the margins around the Electronic Chemicals business. And just curious, in addition to some - maybe some discretionary spend tightening, obviously, and maybe accrual reversal, I assume - I surmise there's a positive mix benefit as opposed to like some absorption variance benefit. So can you just talk about like - you can confirm that you're getting a mix benefit in that segment and elaborate? Is it assuming your highest margin products like tungsten and the advanced stock price slurries are showing better growth in the balance of the portfolio? Is that fair?
Scott Beamer: Yes, exactly, Chris. Within slurries, we saw stronger tungsten and dielectric revenue, which is helping to improve the mix there. In addition, we've had some operational efficiencies on the pad side, which has helped improve the margins for that segment as well. So we think we've had a history of improving margins in that segment, which used to be the historical company. We've had a history of doing that in the past. And through margin mix and operational efficiencies, we expect to continue to do that.
Christopher Kapsch: Okay. Got it. And then in the formal commentary, there was discussion about this quarter benefiting from relatively healthy demand of your foundry logic customers and the memory sector is still recovering. I'm just curious about - if you could comment and elaborate on your process of record wins and therefore, content for wafer to more advanced 3D NAND chips. Like obviously, the transition from 2D to 3D NAND architectures where they're really good things for nano, microelectronics, we're seeing the transition of that 3D NAND production to deeper architecture, so more layers. So do you still - is there any way - I mean you framed this up a little bit on some of your investor presentations. But can you - any way to put some more quantitative parameters around that content? As we see, like, for example, like the - loosely speaking, the memory chip industry has gone from something like 20% of production at 96 layer below, now that's like 50 this year. So I would assume you're seeing benefits from that. But anyway, any way you could frame up quantitatively your content per wafer for those advanced memory chip architectures?
David Li: Yes. Thanks, Chris. And I would just say, first, on the outlook for memory, it continues to be a positive trajectory. But I'd say it's not yet even fully recovered after a pretty historic build in 2018. And if you think - if you listen to what key customers like Samsung are saying, although they have strong demand, they don't expect full recovery until 2021. So if you think about that as a future tailwind for us, once the memory makers go back to full utilization, that should produce additional tailwind for us, especially, as you mentioned, 3D NAND. As it pertains to the transitions, obviously, we're working closely with those major memory makers on 120 and beyond layers. And I'd say that there is incrementally more CMP steps. It's not like the kind of doubling of steps that we saw from 2D to 3D, but I think of it more as incremental growth. There are more layers that need to be polished. But on the other hand, we're working with customers as well to make those processes more efficient, right? So they could be thinner layers or there could be less polishing time that's needed. So we look at a move like, for example, to 90 to 120 definitely as a growth opportunity, but it's not going to be as significant as a 2D to 3D. But it's a really important part of our growth strategy. We continue to secure strong positions in memory as well as logic foundry. We mentioned strong dielectrics this quarter, and that included some early design-in wins that we recorded with both the major foundry and a major memory manufacturer. So as the technology continues to advance, that really plays into our strength. We continue to work closely with all those customers to make sure we're working with them on their most challenging technologies.
Christopher Kapsch: That's helpful. And then just one quick follow-up on the comment about strength in foundry logic this quarter. Was that across the board benefiting your slurries, pads and the high process slurry chemicals? Or was it most pronounced in the Electronic Chemicals business?
David Li: Yes. I'd say it was pretty broad based. We saw increases across the different parts of the portfolio. And I think that really speaks to our unique capability to bring a full suite of consumables to those important customers. So obviously, we saw foundry, very strong logic as well. And I think that's just an outcome of having a full suite of solutions that we can offer to them and obviously, securing those advanced positions. So we're really encouraged.
Operator: [Operator Instructions]. Our next question comes from David Silver from CL King.
David Silver: So I have a couple of - maybe a couple of small board questions and then maybe a bigger picture one. But I wanted to kind of maybe touch on the comment about customer inventory build on the CMP pad side. And I didn't notice a similar comment either now or in the past couple of quarters related to either well pads or slurry or EPC electronic or HPPC. So just broadly speaking, what is it about your pad business? What is it about maybe the phase of development of maybe some of the customer projects that led them to decide that they needed to carry a higher kind of safety stock or buffer stock? In other words, are they suffering some supply disruptions? Or is it common maybe when a node transition is underway to build up some extra buffer stocks in those areas. But just some color on customer behavior related to your pad business?
Scott Beamer: Yes. Sure, David. And first, I would say that there really isn't a change to the underlying customer behavior for our pads business or any of the businesses within Electronic Materials. This was enough of an item that we mentioned it, but it's not significant overall as a company. So that's how we use the term moderate. If you think about the pads business, it's off a relatively small base. And you know from the materials that pads were up $1 million versus the prior year. So that's about a 3% change. And as we were explaining that, we saw an item that really was limited to one customer, again, large enough to mention but not significant overall to the company. We're already seeing a return to more normalized levels at that particular customer, but it's really not an industry-wide situation and nothing structural.
David Silver: Yes. No, no. And I mean, just to comment, I agree with you 100%, the year-over-year change, not so dramatic. But sequentially, I mean, that had been a product line that maybe was - had been a little sluggish sequentially. So this period kind of stood out just a little bit on that basis. But nothing...
Scott Beamer: Yes, it was part of that. But again, we continue to be optimistic about our pads business and the opportunities that we have commercially. And we're working both commercially and operationally to continue to improve that business.
David Silver: Okay. One more kind of small board question, and I'm kind of asking this with a grin. I bet you, I can guess your answer. But you did mention a pretty sharp - let me - I'm actually going to change it. So I'm going to just ask on the DRA business. You did say that there was a 36%, I believe, sequential decline in business on the DRA side in the quarter. Can you remind me, was that shipments? Was that dollars? Is that similar? And then I did just want to ask if you could comment on the tone of product pricing on the DRA business as you start to emerge from the recent downturn. Has pricing been sustained or has competitiveness increased along with the decline in market demand?
Scott Beamer: Sure. And yes, let's talk about DRAs for a minute. It's - this quarter, it was 10% of the company revenue or slightly less, but an important area, a growth area, a highly profitable area for our company. So I think it's worth taking a couple of minutes to comment. That is the business that has been impacted through demand of transport and demand of oil, as we've mentioned, from the pandemic. And if you think about our first quarter, so back to the December quarter, we - that was the pre-COVID quarter. And we mentioned that DRAs were about 2/3 of the segment at that point, which puts that revenue in the quarterly neighborhood of $40 million. We're - we've declined. As you mentioned, Q2 was pretty flat to Q1, and then we were down 36%, and that's a $1 change quarter-over-quarter sequentially. We mentioned that each - June was the lowest month of - the lowest month within that quarter, and July was significantly better from June. So we expect, we hope that things will continue to recover, and we've seen so far that June was the low point in this cycle. So we have expected - we've said that we expect DRAs to be up about 10% sequentially than going into the fourth quarter. And I think that those declines have been more than off - have been partially offset by those optimization efforts that we've taken in our wood treatment business. So we're actively - proactively managing that business as stewards of the company and all of our businesses, and we've been able to optimize the profitability of that business while also working with our customers on the transition plan. So we feel like it's a complete story within the segment of managing, again, what we can control, even helping to offset a market that has declined for us. In terms of pricing, it's a relatively well structured but yet competitive environment. So I think we're going to - generally speaking, we don't compete on price. We compete on delivery, technology, being close to the customers and having that high degree of customer interface. So it's always going to be competitive. We always will respect the competitors that we have and be competing across all fronts. But generally speaking, we're competing on different levels rather than just price in the marketplace.
David Silver: Fair enough. Okay. And then I do have kind of a big picture question, and it would have to do maybe if Dave could comment on - I guess the broad topic would be the technology road maps that are out there. So in reading about the industry, I mean, I've - it's my opinion that the broader industry, chip makers, designers, et cetera, are all kind of adopting kind of a more aggressive or a more confident tone in regards to the longer-term technology road maps that they all have, so looking beyond the next node transition or even the next iteration for their leading products. And since your R&D efforts need to be closely aligned with your key customers, I'm just wondering if maybe from 3 months ago, 6 months ago, that it's your impression that, a, that your customers are moving forward more aggressively and maybe looking beyond 7 nanometers to 5 and 3, et cetera, on the logic side, and whether that has changed the tone, change the direction of your R&D efforts and whether you're collaborating on advanced - the next generation or just one generation beyond that sooner and at a more highly collaborative level. So industry road map and whether it's reality or just perception that the industry has gained maybe - the broader industry has gained some increasing confidence and a more diligent pursuit of knocking down the obstacles to getting to that next node transition and even the step beyond that.
David Li: Yes, David, a great question. And I think there is definitely reasons to be encouraged in the current environment. I think - versus, especially, for example, 6 months ago when C-19 was really ramping up all around the world. I think everyone had a cautious outlook. But I think it's increasingly clear that technology - we're going to rely on technology to continue playing a critical role. And I think we've seen our customers be more confident in terms of not necessarily accelerating but just progressing in their road map. And so we are working closely with logic and foundry customers on advanced technologies. You mentioned 7. We're also working on 5 and 3 and if you can believe it, even 1 and sub-1 nanometer. And I think this is really where a company like ours is unique in that where we can bring a total suite of consumables. Especially if you look at just the CMP module, we can work and customize a pad solution and a slurry solution that enables a customer to do different things than they could without that degree of freedom on their road map. And so I think we play an important role in terms of helping further that technology road map. From our company's perspective, we haven't slowed down R&D even through the C-19 period. We've always been strong believers in our technology leadership. And so we're continuing to innovate new solutions across the portfolio. And so we're encouraged by what we see in logic and foundry. And I think foundry obviously had sort of taken bleed a bit from the technology road map side. On the memory side, similarly, on the NAND piece, I think we talked about that a few questions ago that they're moving on to 100-plus layers. That's really critical to have the purity levels, whether it's Electronic Chemicals or again, the slurry and pad combinations that we're able to bring to bear for those customers. DRAM is facing a kind of an interesting challenge because they can't go vertical, but we're working with customers closely on the 1y, 1z and beyond technology. So we are seeing a lot of optimism. I think there's challenges. And I think those challenges play into our strength. So we like that confidence from customers, and of course, we're working closely with them.
Operator: Our final question comes from Krish Sankar from Cowen and Company.
Krish Sankar: Just two questions for David. One is, as the CapEx or WFE mix shifts more towards memory next year and away from foundry logic, how did that impact your product mix and margins? Would you see more constant CMP, less copper CMP? Kind of curious how that product mix would shift the change in WFE. And then I had a follow-up.
David Li: Krish, yes. So obviously, we have really important positions in memory. And to the extent that they are continuing to invest in new capacity, whether it's in Korea or North America or China, for example, that's very positive for us because as you mentioned, there are very significant tungsten and dielectric steps. We have strong positions with those advanced technologies. And so increasing WFE for memory, you would think to - as they start up, that capacity would be a positive for our business. But then again, I'd say also, more capacity utilization on foundry and logic is also a growth driver for us as well because we sell to all those segments. But I'd say, for memory, in particular, there's critical tungsten steps, there's critical dielectric steps. And so I think we - that would be even more favorable for us if there is a shift towards more capacity added on the memory side.
Krish Sankar: Got it. Got it. And then the final question is can you give an update on the competition, especially in China with companies like ING Micro making quite a bit of traction?
David Li: Right. So obviously, there's a lot going on in China these days. We're following the situation very carefully. We have a strong business in China and we have for many years. And so one is, I think, monitoring the macro situation carefully is essential, and we don't see any material impact from any of the regulations in place today. As far as local competition, we respect all of our competitors. But I'd say we have a very strong business in China, and we haven't seen a significant increase in the competitive environment in China, whether it's from locals or multinationals.
Operator: [Operator Instructions]. And this does conclude our Q&A portion of the call. I would now like to turn it back to Colleen Mumford for final comments.
Colleen Mumford: Thank you. That is all the questions we have for this morning. Thank you for your time and your interest in Cabot Microelectronics. Have a great day.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you again for participating. You may now disconnect.